Operator: Ladies and gentlemen, thank you for standing by. Welcome to the TJX Company’s fourth quarter and full year fiscal 2009 earnings conference call. (Operator Instructions) I would like to turn the conference call over to Ms. Carol Meyrowitz, President and CEO for the TJX Companies.
Carol M. Meyrowitz: Good morning. Before we begin, Sherry is going to make a few comments.
Sherry Lang: Good morning. The forward-looking statements we make today about the company’s results and plans are subject to risks and uncertainties that could cause the actual results and the implementation of the company’s plans to vary materially. These risks are discussed in the company’s SEC filings, including, without limitation, the Form 10-K filed March 26, 2008. Further, these comments and the Q&A that follows are copyrighted today by the TJX Companies. Any recording, retransmission, reproduction, or other use of the same for profit or otherwise without prior consent of TJX is prohibited and a violation of United States Copyright and other laws. Additionally, while we have approved the publishing of a transcript of this call by a third-party, we take no responsibility for inaccuracies that may appear in that transcript. Please note that we have detailed the impact of foreign exchange in our consolidated results and our international divisions in today’s press release and the Investor Information section of our website, www.tjx.com. The comparable store sales numbers that we talk about today our on a constant currency basis, which is how we will be reporting these numbers going forward. We have also provided the last five years of comparable store sales on a constant currency basis on our website. Finally, to be consistent, all the comparable store sales results we are expressing today exclude the impact of the 53rd week, however, all of our other financial measures include the effect of the additional week. With respect to the non-GAAP measures we discuss today, reconciliations to GAAP measures are included in today’s press release posted on our website, www.tjx.com in the Investor Information section. Thank you and I’ll turn it back to Carol.
Carol M. Meyrowitz: Joining me on the call today with Sherry are Jeff Naylor who in addition to as well as Chief Administrative Officer has been billed as CFO position, and Ernie Herrman. I have been looking forward to this call. We are going to change up our approach a bit. I’m going to have Jeff take you our full year and fourth quarter results first, and then I will share our outlook for 2009 and why we believe that TJX is positioned not only well, but better than most, to weather these tough times. I am also going to tell you why we believe TJX will emerge from this recession in a stronger, competitive position for the long term. So here’s Jeff to recap the numbers for this past year and fourth quarter.
Jeffrey G. Naylor: What I am going to do is begin with the consolidated results on continuing operations basis for the full year. Net sales for the 53-week fiscal year increased to $19.0 billion. That’s 4% above last year’s $18.3 billion. Our consolidated comp store sales were up 1% for the full year, which was below our plan and was up against last year’s 2% increase. On a reported basis full year diluted EPS was $2.08 compared with $1.68 last year. We have included a chart in today’s press release that details the effect of the computer intrusions and tax-related adjustments on EPS, so you will see that in the release. Excluding these items, adjusted full year diluted EPS was $2.01 compared with $1.93 last year. I should note that this year’s results also include a $0.09 per share benefit from the 53rd week in our fiscal 2009 calendar and a net $0.05 per share negative impact from foreign currency exchange rates and these are also laid out in the release. Overall, pre-tax profit margins for the year on a reported basis were 7.6%, that’s up 70 basis points from last year. When we exclude the intrusion-related reserve items from both years the adjusted consolidated pre-tax profit margin for the year was 7.5% and that’s down 40 basis points from last year, and let me take you through the cause of change. To begin, gross profit margin was 30 basis points below last year. Merchandise margins were up over last year but they were more than offset by buying and occupancy expense deleverage on the lower cost. And Carol will discuss in a moment how we are going to address this going forward. The 53rd week benefited gross profit margin by approximately 20 basis points and just FYI for modeling purposes, the majority of the 53rd week benefit is in the gross profit line. SG&A expense was up 10 basis points versus last year, primarily due to the deleveraging impact of the 1% comp but partially offset by our ongoing cost reduction efforts. And then in terms of inventories, at the end of the fourth quarter consolidated inventories on a per store basis were down 5%. We exited the year with less winter clearance merchandise and entered the new year with far more liquidity and fewer dollars committed forward than at this time last year on a per-store basis. This includes the warehouses, stores, and merchandise on order. So we are extremely well positioned with our inventories, which we believe will help us combat this challenging retail environment. So that’s the year. Let me now recap fourth quarter results. In the fourth quarter net sales were $5.4 billion, which was flat with last year. Our consolidated comp store sales decreased 2% versus a 2% increase last year. On a reported basis diluted EPS was $0.58 versus $0.67 last year. Excluding computer intrusion-related adjustments in both years, the adjusted earnings per share was $0.55 versus $0.65 last year and above our latest expectations. So we were about $0.04 above the consensus in the high-end of our guidance. $0.02 were due to the stronger than expected operating margins, $0.01 was attributable to a favorable tax rate, and $0.01 was due to currency translation having less of a negative impact that we had originally anticipated. The 53rd week positively impacted EPS in the quarter by about $0.09 while the overall net negative impact of foreign exchange was $0.10 per share versus the $0.02 benefit that we received from foreign exchange last year. and if we exclude these factors EPS was down $0.11 from the prior year on a comparable basis. and again, we have laid that out in the press release as well. Consolidated pre-tax profit margin on a reported basis was 7.4%, again, excluding the impact of the inventory-related hedges and the intrusion-related reserve reductions from both years. The adjusted pre-tax profit margin was 7.6% versus 8.4% last year, down 80 basis points. And again, to walk you through that 80 basis points, the gross profit margin declined 180 basis points on a reported basis. it is important to note that 100 of this was due to the negative impact of the inventory-related hedge adjustments. So excluding these adjustments, the gross profit margin was down 80 basis points, primarily due to buying and occupancy cost deleverage, which more than offset the benefit of the 53rd week, which parenthetically we estimate to be 70 basis points. Merchandise margins were flat, excluding the impact of foreign exchange against last year’s very strong performance as we brought our inventories down throughout the quarter to protect margins. SG&A costs were 10 basis points favorable versus last year and SG&A dollar spending was favorable to plan. Net interest expense was up 10 basis points versus prior year, and I should note that the higher interest expense versus last year was basically offset by the benefit of a lower tax rate year-over-year. Now let me turn the call back to Carol for our outlook on 2009 and the long-term and at the end of the call I will recap our first quarter guidance.
Carol M. Meyrowitz: As I said earlier, I want to share with you the actions we have taken that I believe position this company well to weather this recession. I also want to outline how we have solidly positioned TJX for when times improve and to pursue our long-term strategy, which has not changed. Our plans for 2009 assume a deep recession for most of the year and we have taken a very conservative approach. The three main planks of our approach are planning comp sales very conservatively, running with historically lean inventories, and taking out at last $150.0 million from our cost structure. As to how we are handling guidance, with all of the volatility in the economic environment, we will be giving guidance for the first quarter. For the full year we will provide guidance around a number of elements of our P&L and balance sheet with some assumptions related to the model. Broadly speaking, what I can tell you is that we are setting our inventory and expense plans around the negative low single-digit comp in line with our fourth quarter trend. In terms of sensitivities, however, while we are not assuming a flat comp, you should know that our FY2010 model would deliver essentially flat EPS on a flat comp and that’s with $0.14 of currency-related pressure. Without the impact of currency, the model would deliver essentially flat EPS at a negative $0.02 comp which underscores the expense of operating margin improvement embedded in the model. And Jeff will elaborate on all of this later on the call. Now let me share with you the details of our approach. First, as I just mentioned, we are planning comps very conservatively. We believe that this is not only to protect our bottom line but also gives us opportunity and positions the company to be even stronger long term. We have many actions underway to drive sales and to the extent that we exceed our conservative comp expectations, we will create a flow-through to the bottom line. Let me highlight just a few of our opportunities to drive sales in the is environment. With much leaner inventories we are buying even better and closer to need. This creates even more excitement in our stores and the intensity fresher than ever. Delivering great fashions and brands at extreme value is foremost. We see ourselves as a shopping destination for both moderate and high-end brands at low-end prices. Our traffic count is up, which clearly tells us that we are well positioned for today and the long term. We are aggressively shifting our purchase dollars to the right categories and initiatives in order to drive sales. As always, we continue to expand the initiatives at work and to test new ones, and we have many underway. Lastly, on sales drivers, we will be bolder in our marketing and more aggressive in communicating our value message to the customers. While we will be reducing our marketing spend in 2009 we will be increasing our TV presence by four to five weeks and hitting 35% of our markets that have never seen our brand on TV before. I am very excited about our marketing campaign for 2009. The second major strategy that we will pursue in 2009 is to run with very lean inventories to drive faster turn and even stronger merchandise margins. With intent we entered the year with more inventory liquidity and greater open to buy than I have ever seen or ever remember. For 2009 we are planning inventory levels down to low to mid-single digits throughout the year on a per-store basis on top of decreases we had at the end of this past year. With conservative inventory management and strong buying opportunity, we believe merchandise margins will be up across all divisions with the exception of Winners, due to the higher cost of the U.S. dollar purchases, which we will discuss later in more detail. On a consolidated basis, we believe merchandise margins will be up for the year. Third, to protect our bottom line, we have taken a comprehensive series of actions to reduce costs. With these actions we believe SG&A dollars will be essentially flat for the year on a constant currency basis and down on a reported basis. These actions span all areas of the company and most were announced to our organization earlier this week. As I mentioned, in total these actions are worth approximately $150.0 million of savings to the bottom line in 2009. Some of the major actions we are taking encompass the following: We are driving further savings in non-merchandise procurement, which we started this initiative a few years ago; we are implementing processes to more efficiently manage payroll in our stores and distribution centers; we are reducing our marketing spend, as I mentioned, but increasing penetration; we have frozen headcount since September 2008 from our eliminating open positions; further, we are eliminating merit pay increases across the majority of the organization; we are also restructuring certain areas to improve productivity and efficiency; and will be offering a voluntary retirement program. I should note that these reflect our actions at this time. We have identified potential opportunities in other areas, including freight, and more in non-merchandise procurement. We are maintaining our flexibility and keeping our options open to take additional actions should the environment worsen. In today’s economic environment our organization is more focused than ever on executing even better and even smarter, understanding that this is what will drive our success in the short and the long term. I am confident that strong execution today will help us be an even bigger player in what will be a smaller retail landscape. Our long-term vision of a company as a global off-price value retailer has not changed. While the execution of our vision has shifted to accommodate the current retail environment, I am confident that with the right strategies in place we will come out of the recession with an even greater competitive edge. Today we are gaining market share in a challenging environment with the strength of our value proposition. Value is where you want to be in this economy. In 2008 our comp sales were at the high end of the retail industry and our customer traffic remains healthy. We believe that our momentum will continue. Our history tells us that when we capture new customers they stay with us when times improve. This is key because even a slight increase in consumers’ discretionary spending and capturing a piece of that in our average baskets would be very meaningful for our business. The consolidation we are seeing in the retail sector also offers major opportunities for us to gain market share. according to recent data bankruptcies and store closures to date across apparel and home fashion retailers will result in approximately 1,200 closed stores and a $10.0 billion market share opportunity. This is just what has been announced and sadly, there will likely be more to come. As everyone knows, consumer demand has decreased significantly but the fact that the retail landscape is also shrinking creates an opportunity for TJX. I talked about future real estate opportunities in the third quarter conference call and we are now beginning to see some of these opportunities come to fruition. The deals we are seeing are truly advantageous. Further, when I talked about real estate deals, not only about opening new stores but also opportunities to renegotiate more favorable leases and relocate stores to better locations. We have committed to fewer locations for 2009, allowing us to be very opportunistic. Our younger and new concepts are performing well despite the current economic climate. In the U.S. A. J. Wright made significant improvement and held up very well in 2008 and is off to a very good start in 2009. Four-walls profitability was up significantly last year, which gives us the confidence to add 13 A. J. Wright stores in 2009, including one new market. We will continue to grow this business conservatively and expand the chain to the size that delivers solid returns for our shareholders. Our Marshalls Shoe Mega Shop, which builds on our success in shoes and accessories, had two solid openings this fall, one in Yonkers, New York, and the other in California. We will be adding one or two of these stores in 2009. We also tested StyleSense, a similar shoe and accessory concept in Canada in 2008 and it, too, was very successful. We plan to open just one StyleSense in 2009. Further, we believe that being an international company gives us advantages in the short and the long term. Our younger European concepts are all working well and performing beyond our expectations and we believe we have major opportunities in Europe. With very strong performance to date, we believe our German business will be profitable towards the end of calendar 2010 and are very encouraged by the HomeSense business in the U.K. Now let me spend a moment on our financial strength which has become even more critical in today’s economy and gives us great confidence in the short- and the long-term success of our company. In this very uncertain economic environment, our approach is to manage our strong balance sheet and cash position to preserve our flexibility. We have an A credit rating, one of the strongest in retail and ample liquidity, including the significant excess cash that we expect to generate from our operations in 2009. With this flexibility we will be well positioned to respond to the challenges of this environment and to take advantage of opportunities it may present. Cash is a big part of the TJX story. This past year the excess cash we generated on a per share basis at current stock prices was the equivalent of a 7% cash-on-cash yield. In 2009 we estimate this yield at 10% as we manage our cash even more tightly. Jeff will cover the details of our plans in a moment. So in closing, I believe we have the right business model to endure this environment and win in the long term and we don’t have to make drastic changes to our model to do so. We can manage through these difficult times by making adjustments. In 2009 we will be defensive and cautious and flexible. We will plan for conservative comps, keep inventories extremely tight, and take a sizeable piece out of our cost structure. We will also manage our substantial cash flow and financial liquidity to optimize our flexibility. In the short term we believe we will be gaining market share, building our vendor base, and maintaining a leadership position in the consumer marketplace and retail landscape. Offering both moderate and high-end brands at low-end prices is a compelling value proposition. It is important to remember that even a small uptick in consumer confidence can have a meaningful benefit on our business. When the dust from this recession settles, we believe we’ll be stronger competitively. We have grown our customer and vendor base, the retail landscape is consolidating so consumers will have fewer places to shop. Real estate, which has already become less expensive, will offer us opportunities in the future. Our new and smaller concept, including A. J. Wright, Marshalls Shoe Mega Shop, StyleSense in Canada, HomeSense in the U.K. and T.K. Maxx in Germany are all doing well and should provide platforms for future growth. I hope I have helped to explain how we are taking on the difficult environment head-on and why we are confident TJX will be well positioned now and certainly for the future. Now I will turn the call back to Jeff and he will go through our 2009 plans and details and then we will open it up for questions.
Jeffrey G. Naylor: Before moving to guidance I want to take a moment on the impact of foreign exchange, as we’ve received quite a number of questions from investors regarding this over the past month. So let me start with that. I guess first of all we have included some charts on our website that lay out the impact of currency on TJX, on Winners, and on T. K. Maxx results and we hope you find these helpful and we are going to continue to provide them in the future. Clearly, foreign currency translation has impacted our EPS this past year, particularly in the fourth quarter where it had a negative $0.05 impact due to the precipitous declines in both the Canadian dollar and the British pound. In contrast, over the four preceding years, foreign currency translation benefitted EPS by an average of about $0.02 per year and the impact on any one quarter was greater than $0.02. So what we are seeing is extraordinary and it’s impacting us as well as other multi-national retailers. In addition to translation, I want to call one other thing out. I need to point out that the sudden and unprecedented decline in the Canadian dollar will economically impact Winners’ gross margins, particularly in this coming year, so let me explain. Over 50% of our Canadian businesses merchandises purchases are denominated in U.S. dollars. When currency rates move gradually, retail prices adjust gradually and the impact on gross margins is not terribly significant. However, when rates move suddenly, as they have done, we are unable to immediately adjust our retail prices and we have to do so gradually and in line with the competition. This compresses Winners’ gross margins in the short term because in essence the cost of merchandise has increased because the U.S. dollar has appreciated. We began to see some of that impact approximately 100 basis points in the fourth quarter segment margins of Winners. So when you look at Winners’ margins for the fourth quarter there’s about 100 basis point of impact from this item. In fact, as I mentioned earlier, our consolidated fourth quarter merchandise margin would have been flat were it not for this impact. So that’s currency. Let me delve into more detail about our outlook for the full year. as Carol noted earlier, we will provide full year guidance around a number of elements of our P&L and balance sheet, along with some assumptions about the overall profit model, but I’m not providing sales in EPS ranges. Let me run through some key elements of our plan for fiscal 2010. First, we have built our inventory plans around a low single-digit comp decrease, which is in line with our Q4 trend and we have done this to protect the gross margin. With this approach and the terrific buying opportunities we have, we believe merchandise margins will be up for the year. Second, we have taken actions to reduce costs by $150.0 million. These will protect our bottom line. They will also offset expense increases in other areas such as pension and health insurance that you’ve been hearing other companies talk about. This implies flat SG&A in dollar terms versus fiscal 2009 on a constant currency basis. Third, while we’re not planning flat comps, our model for fiscal 2010 would result in flat earnings per share versus the prior year on a 52-week basis, if the comps were flat. It’s important to note that this model includes $0.14 per share of negative currency impacts for the year, $0.05 from foreign currency translation and $0.09 from the lower gross margin at Winners, which I just discussed. Excluding currency impacts, our model would result in essentially flat EPS on a minus 2% comp, so we hope those data points give you some ability or some insights as you’re building your models. Fourth and very importantly, we expect the first half of the year to be much more difficult than the second half as we’re up against tougher comps to our sales comparisons and will continue to have negative foreign currency translation until we anniversary last year’s declines, which won’t be until late in the third quarter. Additionally, many of the cost-reduction actions will not begin to take effect until the second quarter. Finally, in this environment we are managing our liquidity conservatively to preserve flexibility. We have reduced our capex budget to $450.0 million in 2009 from $583.0 million in the prior year. this plan reflects the reduction in the pace of store openings as we keep our powder dry for what we think will be terrific real estate opportunities. We are going to take a more conservative approach to our stock buy-back program. Currently we anticipate spending up to $250.0 million, however we could potentially adjust this up or down and adjust the timing, depending on the economic environment. At current prices this level of buy-back represents a slightly less than 3% reduction in our share count, and that’s just slightly below what we’ve done historically. As mentioned earlier, we’re also reducing our inventories, which will also provide some incremental cash. So if I wrap all this together, on the liquidity front, including all these actions, we would expect to generate positive cash flow in the $500.0 million to $600.0 million range this year, on top of the $450.0 million balance we had at the beginning of the year, which gives us significant flexibility. However, to be clear, we will, as we have always been, be conservative of how we manage TJX’s balance sheet and finances. Now let me turn to first quarter guidance. As I just noted, this is not indicative of the full year, given the more challenging first half. For the first quarter we expect earnings per share to be in the range of $0.32 to $0.38 versus $0.44 per share last year, on a reported basis. this outlook includes a $0.02 per share negative impact from foreign currency translation and inventory-related hedges. Last year’s results included a $0.02 per share benefit of non-recurring tax benefits as well as a $0.01 negative impact from inventory-related hedges. Excluding these impacts, on a comparable basis, EPS would be in the range of $0.34 to $0.40 versus an adjusted $0.43 last year. That said, we understand and would endorse that most analysts submit consensus estimates on a reported basis, unadjusted for these items. Some of the details on Q1. We are assuming a first quarter top line of $4.2 billion, in that range, with a 2% to 4% comp sales decrease, both on a consolidated basis and at Marmaxx. For the month of February, we are planning for a consolidated comp store sales decrease of 1% to 2%. We are anticipating a 2% to 4% decrease in March and a 4% to 6% decrease in April. April’s comps reflect one less selling day in the month due to the shift of Easter from March last year to April this year. For Marmaxx we are planning a 1% to 2% comp decrease in February, a 1% to 3% comp decrease in March and a 4% to 6% comp decrease in April. For the quarter, pre-tax profit margins are planned in the 5.4% to 6.2% range, down 70 to 150 basis points from the prior year. this decline is entirely due to expense deleverage on the negative costs as merchandise margins are expected to be up for the quarter. We are anticipating first quarter gross profit margin in the range of 23.5% to 24.0% and SG&A as a percent of sales to be about 17.7% to 18.0%. Again, the majority of the benefit of the cost reductions will not begin until the second quarter and we are anticipating cost deleverage on the 2% to 4% comp decrease. For modeling purposes, we are anticipating a tax rate of 38.2% and net interest expense in the $4.0 million to $5.0 million range. So that’s it for the quarter. I will wrap up my comments with our store growth plans for fiscal 2010. Beginning with our domestic concepts. At Marmaxx we plan to increase its store base by a net of about 17 stores for a total of 1,697 stores by the end of fiscal 2010. Very importantly, as Carol mentioned earlier, we are keeping our real estate powder dry and believe we will have the opportunity to do more Marmaxx stores that we have currently planned. At HomeGoods, we plan to add a net of four stores for a total of 322 HomeGoods stores by the end of the year. at A. J. Wright, as Carol mentioned, in fiscal 2010 we anticipate netting 13 additional stores for a total of 148 by year end. In Canada we plan to add a net 13 stores to end the year with a total of 290 stores in that country. And then finally, moving to Europe, in the U.K. we plan to add five T.K. Maxx stores as well as three HomeSense stores for a combined total of 241 stores by the end of the year. We also expect to open an additional ten stores in Germany for a total of 19 in that country by the end of the year. So that’s it. We’re going to open it for questions now. To keep the call on schedule we ask that you please limit your questions to one per person.
Operator: (Operator Instructions) Your first question comes from Jeff Black - Barclays Capital.
Jeff Black - Barclays Capital: On the expense initiative can you help us out with how to think about occupancy deleverage in the back half of the year. are you still going to delever on occupancy so we see maybe the 2 comp? And could you give us a quick update on Home, what we see there? Is there any progress? It looks like the last quarter was very tough in the home business.
Carol M. Meyrowitz: I’m going to take it first. I’ll talk to you a little bit about Homes. We definitely had a tough Homes business in the fourth quarter and I think we have made a lot of changes in the strategy going forward and we are already seeing some very positive signs. I will talk to you generally about HomeGoods. We have really changed up our strategy there. Obviously across all divisions everybody is looking at cost reduction. But more importantly, we think we’ve brought tremendous value into our home business, especially in HomeGoods and HomeSense. Much better value than we had in the past. Much leaner, we have a completely different strategy in terms of freshness, a new marketing campaign and I can you that we are really seeing a change and I’m very excited about going into February in terms of the home businesses. We are also seeing where, you know the way it is in HomeGoods, and Linens and Things has closed, we are seeing some very substantial comp increases in those stores. So again, we think the landscape is going to change and I think I’m feeling a lot better about our home business going into this year.
Jeffrey G. Naylor: As to your question on the buying and occupancy deleverage, clearly we would anticipate buying and occupancy deleverage in the first quarter on a minus 2 to a minus 4 comp. and that’s partially offset by increased merchandise margins. But we are seeing buying and occupancy deleverage. It’s really hard, there are a number cost elements in buying and occupancy expense which are fixed on a short-term basis, so it’s awfully difficult to get leverage when you have a negative comp. In terms of the back half, it all depends on the comp. I would estimate we would need about somewhere a 2% to 3% comp to leverage buying and occupancy. We will leverage SG&A at a much, much lower comp, given some of the expense cuts that we have made.
Operator: Your next question comes from Michelle Clark – Morgan Stanley.
Michelle Clark – Morgan Stanley: In terms of the expenses, I just wanted to get a little more color there in terms of timing. I know that you said that they start primarily in the second quarter. Jeff, how can we think about weighting them as we proceed through the year?
Jeffrey G. Naylor: We don’t mean to say you’re not getting any benefit in the first quarter. There are a number of things that we’ve done that are going to benefit the first quarter but we won’t see everything kick in until the second. I think the lion’s share of what we’re doing will be done by early in the second quarter.
Carol M. Meyrowitz: To go through some of those, we have DC efficiencies, which we will see a little bit of, the in-store labor piece of it, we’re beginning to see a small positive there but that will really start in second quarter and follow up through. Hiring freeze, April is usually the time where we do our increases. We talked about some voluntary early retirement and in terms of positions, we really basically froze our positions since last September, so that will continue throughout the year. There is some strategic restructuring going on that will probably be in the next two to three months. We have a little bit going on in our benefit plans and that really has to do with communication and just doing a better job at some of the things that we already have. Tightening travel expenses, we’ll start to see that. And then non-merchandise procurements, which is a big chunk and which was a big chunk last year, again we’ll probably start to see a little of that but most of that second, third, and fourth quarter. So if that gives you a little more of a breakdown.
Operator: Your next question comes from Dana Telsey - Telsey Advisory Group.
Dana Telsey - Telsey Advisory Group: It certainly seems like A. J. Wright has reached a new level of stability. Can you talk a little about that division and any additional color on their ability to gain share in this environment or what you’re seeing product-wise there? And also you mentioned shifting dollars to the right categories. What will we see more of or less of in this environment and how does the advertising work with that?
Carol M. Meyrowitz:  In terms of A. J. Wright, first of all, we’re off to a very good start. We’re building on a stronger year. we definitely have a better understanding of this customer and how to market to this customer. Our four-wall contribution has certainly improved dramatically. We think we have upside in margin and running, again, with much, much leaner inventory. And focusing on what this customers wants which is basics, kids, junior, dresses, and young mens, which are really the key categories that we focus on. And shoes. In the A. J. Wright businesses. So we are opening a new market this year in Atlanta, which we are pretty excited about. The goods are so plentiful in this market that this is, again, when I say it is impossible to keep these guys home and absolutely there is buying mania out there and we have to control them. So the goods are very, very plentiful in this marketplace. But we’re just feeling really good about A. J. Wright and the future of it.
Jeffrey G. Naylor: Real solid year last year, too, if you look at A. J. Wright and obviously a 4 comp. making money, above break-even, and I think we have strong team there and really beginning to click.
Carol M. Meyrowitz: As far as shifting categories, without giving away all our trade secrets, there are places that are just working very well. The younger customers, which I’m probably the most excited about, because again, that bodes so well for our future. We have new things going on in accessories and shoes that are just making those areas even stronger going forward and we see some tremendous opportunities. And there is a lot of fashion starting to happen so it’s getting pretty exciting out there. And more importantly, what I like, is that we entered the spring season just so clean. Our stores are reading color and excitement and the breadth of assortment, we are very well assorted versus being deep. So it’s getting pretty exciting. I’m in there every single day checking it out.
Operator: Your next question comes from Daniel Hofkin – William Blair & Co.
Daniel Hofkin – William Blair & Co.: Question regarding the sensitivity around some of the comp leverage point you talked about, or if comps were to be at that flat range, which you’re not projecting, but as far as the movement around that and what the sensitivity would be to operating margins, etc., if you could provide any color on that. And then if there is anything you can say regarding the content of the advertising, how, other than increased emphasis on value and offering, any other details you might be able to share.
Carol M. Meyrowitz: I’ll take the marketing and then Jeff will give you some of the sensitivities around the model. We are going to be coming out with a very unusual different marketing campaign, so I’m not at liberty to tell you but it’s very unique. It’s about educating the customer and it reads very well to our model and the value of our model. So I’m going to keep it a surprise. I’m sorry I can’t give it away yet. But we will be on network TV for the first time. We will be able to hit 35% of the stores that we haven’t been able to hit in the past. And in addition to that, the stores will also be—they will have increased direct mail So this is quite breakthrough for us and so we look forward to sharing it shortly.
Jeffrey G. Naylor: In terms of the sensitivities I’ll give you two benchmarks. One is every point of comp is worth about $0.08 to the bottom line. And you can actually see that in the way we provided the model today, where we said flat EPS at a flat comp with $0.14 of currency pressure and if you pull the currency pressure out, $0.14, you are flat on a minus 2 comp. so you can see that in there. The other point, or the other benchmark, is every point of comp is worth about 20 basis points in bottom line pre-tax margin.
Daniel Hofkin – William Blair & Co.: Would that be more on the gross margin and the leverage or deleverage of fixed occupancy or would you also tend to see some flex up and down in the SG&A dollars?
Jeffrey G. Naylor: No, as the comp moves up and down you will see flex in both SG&A and buying and occupancy costs. Our merchandise margin doesn’t react and swing as strongly to comp changes either way because of the flexibility in the model and how short our purchase cycles are.
Operator: Your next question comes from Jeffery Stein - Soleil-Stein Research.
Jeffery Stein - Soleil-Stein Research: Carol, on your purchasing strategy, historically the company has always said we buy closer to need and it just seems that that has been a continued focus and I’m wondering this year is it any different or is it just more of the same in incremental? So what I’m suggesting is, what percent of your merchandise for spring have you committed in the upfront market this year versus historically?
Carol M. Meyrowitz: You know you couldn’t pry that number out of me if you tried, but I will tell you that our purchasing closer to need is greater and planned greater this year than it was last year, with leaner inventories. So along with that we have been working on our distribution network the last several years to be able to get very, very close to delivery. So we’re literally in Marmaxx hitting the DCs and in some cases within 24 hours the goods are hitting the floor. So our plan is the goods are coming in and going straight on the line and going out to the stores. It makes a big difference in the time frame. So that’s what we have really been, what I see as a bigger positive in 2009. We started to see this 2008 but we’ve gotten better and better on our network. So that’s what is also changing the model a bit.
Jeffery Stein - Soleil-Stein Research: And could you tell us roughly how many of your HomeGoods stores overlapped with Linens and Things?
Carol M. Meyrowitz: I don’t know the number. I can get back to you on that.
Jeffrey G. Naylor: We’ll make sure Sherry has that information.
Operator: Your next question comes from Adrianne Shapira - Goldman Sachs.
Adrianne Shapira - Goldman Sachs: Digging into that marketing spend, seems like an interesting intensification of the TV penetration. Can you share with us what you’ve seen already with the TV marketing in existing markets and what sort of comp lift you’ve benefitted from that?
Carol M. Meyrowitz: First of all, our traffic has been up the whole year and I think you’ve probably noticed that we have taken a more of an educational positioning in terms of off price to our consumer. Markets where we certainly have had TV have been more positive and we have been testing many things for the last couple of years in terms of what really is increasing our traffic and I think this past year, two years ago we started testing and this last year we started expanding the strategy and this year is probably the big year that we’re really going network and making much larger penetration. So that’s our strategy. What I can’t share with you is how we’re going to do it. We’ll see that shortly.
Adrianne Shapira - Goldman Sachs: On the merchandise margin, obviously given the aggressive discounting we have seen across the landscape this holiday season, it was really impressive to see that flat merchandise margin. Just wondering going forward, I understand the place your core competencies in terms of lean inventory and buying closer to need but when you think about continuing to see flat merchandise margins, how sharp do you think IMUs have to be as we are in a clearly very intensified promotional environment?
Carol M. Meyrowitz: First of all, I think we gave great value in the fourth quarter, certainly in the holiday period, which is probably the most promotional environment any of us can remember. I am going to be honest with you, I would be disappointed if our merchandise aren’t stronger than what we’re planning them. I think our opportunity is very strong in this market and Ernie has certainly been out there and as Marmaxx and Winners.
Ernie Herrman: I would just validate what Carol said. And we’ve talked about this before. The availability is rather plentiful out there I would say and it’s at all levels in the market so moderate, high-end, etc. and so amidst all of that we’re having to, as usual, kind of pace ourselves. And because we’re liquid, however, we’re able to take advantage of these opportunities and I think buy better than pretty much we ever have before. So I don’t see that dynamic changing at least in the near future.
Carol M. Meyrowitz: Also, we keep track of if the department stores have a promotion and then a point of sale on top of that and a point of sale on top of that, and we’re still giving great value. And that’s the key.
Ernie Herrman: We’re always monitoring. We comp shop all the time and we make sure our model says that we have to be out the door in a gap between our retail and what the out-the-door retails are at the other retailers. So we’re ensuring all the time that we’re in that place.
Operator: Your next question comes from Marni Shapiro - The Retail Tracker.
Marni Shapiro - The Retail Tracker: I’m curious about your negotiations. Have you been able to negotiate any different terms away from just the prices? I know vendors can negotiate certain terms and concessions to the buyers of their inventory and I’m curious if you’ve been able to play with that end of the market as well. And walking a couple of shows recently, there are brands that I’m seeing that are valid brands that could clearly not exist in six months or a year from now. Smaller, private brands but they’re valid. Is there any interest on your part in buying a brand name on the cheap to do something with it?
Carol M. Meyrowitz: First of all, we’re always looking. Part of our strategy and a small piece of it and we do some product development, so we have bought many brands in the past and we will continue to do so and that’s just part of the over 2,000 vendors that we work with. In terms of terms, we work a million different ways. If a vendor needs cash, we can give them cash. We’re working with these people, not against them. And it depends on the situation and we’re flexible and we work with whatever opportunity or whatever situation presents itself.
Jeffrey G. Naylor: We do that, terms are part of the negotiation but the point I want to make is when you look at the term at Marmaxx, it really hasn’t changed significantly though, in this environment. I think one of the things that I would want to call out is when you look at our balance sheet, the relationship of payables to inventory has come down, meaning we have less leverage in our payables. That’s more a function of how we manage through the fourth quarter. We brought inventories down and when you bring inventories down typically you’re paying off your old payables but you’re not building new payables as quickly so you lose leverage until you get your inventories down and then you rebuild that leverage. So I don’t want anybody on the call thinking that we maybe deleveraging our payables. We are not and we would expect this temporary deleverage you’re seeing, the deleveraging you’re seeing at the end of the year, to reverse in the first quarter. Which by the way, is worth about $150.0 million to us.
Marni Shapiro - The Retail Tracker: So in a general consistent basis a net 30 is still the term.
Operator: Your next question comes from Kimberly Greenberger – Citigroup.
Kimberly Greenberger - Citigroup: Normally you guys give a division by division, sort of highlight or recap. I was wondering if you could share with us some high-level comments on each of your divisions, either sales, gross margin, SG&A. anything that you felt was a needle-mover in the quarter. And then secondarily, on Winners, can you just remind us what the exact impact on the operating margin at Winners was from the reversal of that foreign currency hedge?
Jeffrey G. Naylor: Asking about the reversal of the foreign currency hedge, for the full year it didn’t have a significant impact at all. For the quarter, for the company, it was the difference between a 10 point, so for the quarter we reported a 4.7% margin for Winners. Last year it was 14.9% so it was down 10.2%. 7.6% of that was due to the reversal in the hedge. Remember, we booked a gain at the end of the third quarter and then reversed that gain which resulted in a hit in the fourth quarter. So when you apples-to-apples, Winners segment margins were down 260 basis points for the quarter. The majority of that is merchandise margin and a big piece of that was that issue I mentioned earlier about the cost of goods going up because of the amount of goods they purchased in U.S. dollars is a high percentage of their mix. And the U.S. dollar obviously appreciated against the Canadian dollar. So down 260 basis points ex the mark-to-market was about a 7.5% to 7.6% impact from that mark-to-market.
Carol M. Meyrowitz: In terms of the divisions I’m going to give you an overview and also pass it to Ernie to talk about Marmaxx and Winners a bit. But generally, if you look at Marmaxx for the year, I think their profit margin was down about 40 basis points and if you look at it on the flat comp, I think it’s very much flat to LY. We think that this year there is obviously the cost opportunities, there’s definitely opportunity on the margin side, and I don’t want to be overly positive because I know we’re in a very difficult environment but I believe between the initiative and the focus, there is still opportunity there. In terms of HomeGoods, I think part of this was our fault, in our execution and I can see us changing very rapidly in HomeGoods right now and I’m very excited about how they’re off to such a positive start in the month of February. So again, I think sometimes we do it to ourselves and sometimes it’s the environment. And I think in this case it’s a combination of both. I think it was a tough housing market, but I think HomeGoods is going to be the place to shop and I do believe that there will be less home retailers out there in the future so this is going to be hopefully a very short bump in the road for them leading to a very positive future. A. J. Wright, I talked a little about our focus and we’ve got a great team in place right now. We have a head of stores that is absolutely sensational, that was over in the U.K. that I think is going to do a terrific job. I think our stores are going to be run a lot better. I think we understand that customer. They’re in the profit zone and I think they’re really understanding how to flow the goods and the value and I’m pretty excited about this concept going forward. As far as the U.K. goes, that is, again, to me, one of the most exciting places right now. Because not only do we have incredible real estate deals going on and opportunities, but Germany has come on very strong. You know, they had a 4 comp on top of the 6 comp at CKs, their segment margin was up 40 basis points, including Germany and HomeSense. And we are seeing unprecedented deals over in the U.K. and I think they’re just getting stronger and stronger. So I just think there is a lot more to come there. Winners, we are going to battle the margin. Their segment profit was 11% against last year’s 11.5%. And we will get through that. And I think Ernie is seeing some positive things that can help mitigate that.
Ernie Herrman: At Marmaxx, I would say two of the big focuses right now are one on brands, because with what’s going on out there, we have an opportunity I think to do more business with some brands that we’ve done less with that are desirable. And two, to really take advantage of the market yes, but to buy on a weekly basis and flow on a weekly basis, throughout the whole store. I think we’re really trying to focus the organization on those two things, which should yield more excitement down the road here for the season. And going back to something Carol mentioned in the earlier comments, the most exciting opportunity, I think to me, is new customers. So I think if we have customers walking in the door now that perhaps did not shop us before, when they see some of these brands at the values we potentially will have, I think that will be a key strategy for us, even longer term. To gain market share there. Secondly, at Winners, yes, we have a currency issue. One positive thing we’re sharing in the midst of that is first of all every retailer will get hit with the currency issue. Some of them buy out further but what we are hearing is that they will be adjusting their retails going into like second, third quarter, which should allow us, surgically in places to adjust our retails accordingly. so I’m thinking that should be a positive strategy for us going forward. Clearly with the economy up there softening, we will have to be careful with that, however, again, it’s creating additional buying opportunities up in Canada as well, that we will take advantage of and buy goods better. And there again, hopefully win market share in Canada beyond what we have already. So I think high-level, we’re feeling pretty good about both those situations.
Jeffrey G. Naylor: You asked about mark-to-market, were you actually asking about the—because we have this impact of foreign exchange beginning to impact our margins next year. were you asking about that or mark-to-market?
Kimberly Greenberger - Citigroup: I was asking about the 760 basis point hit in fourth quarter to the Winners.
Operator: Your next question comes from Brian Tunick - J.P. Morgan.
Brian Tunick - J.P. Morgan: On the real estate side, did you give us the capex you have assumed in your free cash flow generation and then maybe talk about how many of your stores are up for renewals over the next two years, and then maybe the number of stores that you might have co-tenancy agreements on and if we see some impact from the Linens and Circuits going away in those centers.
Jeffrey G. Naylor: I don’t have that co-tenancy information but in terms of the number of leases, the majority of stores, when we open a new store, they’re almost always on a ten-year term. And with as many five-year options as we can get. So if you look at Marmaxx, at just the sheer number of stores in Marmaxx, most of those stores are going to be coming every five years for a renewal. Other than the stores we’ve opened in the last five years. So you would probably have 70% to 80% of the Marmaxx base coming up every five years right now. So that will give you a flavor for that. And that’s obviously where we have the majority of our stores. In terms of capital, in that $500.0 million to $600.0 million cash generation, that’s the amount we believe our cash balance will increase. So that is after $450.0 million in capital spending, which as I mentioned, was down from the $583.0 million we spent last year. Now, in the $450.0 million capex, we have a fund in there to allow us to invest opportunistically. So there is a pretty sizeable piece of that that is being held back and controlled by the corporate office and that we have earmarked for opportunities as they come up during the year. and we believe we will see some real estate opportunities. So we didn’t want to deploy our entire capital budget to the divisions, we wanted to hold some topside based on what we see coming up. The last point I would make on the $500.0 million to $600.0 million, that’s after an assumed $250.0 million buyback and after about $200.0 million in dividend. While it does require Board approval, it would be our intent this year to increase the dividend. So if you look at that $500.0 million to $600.0 million with the $250.0 million buyback and with $200.0 million from the dividend, it would tell you that, pre any distribution to shareholders, we would generate $950.0 million to $1.05 billion in cash. We think that’s a good thing, we think that gives us a lot of flexibility. The one other point I would make regarding the balance sheet is we have $400.0 million of debt coming due at the end of the year. we believe we will be able to refinance it but in this environment we have to be conservative and so we are going to be prepared that in the event the markets are not our friends that we can retire that debt should the markets force us to do so. Which, by the way, is not what we want to do, but one has to be ready.
Carol M. Meyrowitz: One other comment on the real estate. I think one of the biggest opportunities for us is places such as New York City and the New York area, highly dense areas, or High Street in the U.K., are places that it was more difficult for us to enter. We believe this may be our time in those areas which will really bode well for the future and that’s what we’re pretty excited about.
Operator: Your next question comes from Todd Slater - Lazard Capital Markets.
Todd Slater - Lazard Capital Markets: Just a question on the A. J. Wright decision in the Atlanta market. What are the operating margins that you’re willing now to live with before you pull the trigger on adding more stores or a wider roll out? And how close are you to achieving that level or rate?
Carol M. Meyrowitz: We’re not going to suddenly add on 100 stores. That’s really not the way we do it. Right now we’re approaching our four-wall. I think we’re over 12 now.
Jeffrey G. Naylor: The target is mid-teens, so at a mid-teen store contribution margin, fully leveraging our distributions centers and our G&A, would give us about a 7% bottom line and an ROIC in that sort of 15% to 20% range. So that’s what we’re targeting. Obviously you can’t drive the pre-tax margin up until you open. You do need to open stores. We’re going to go slowly and cautiously. But there are two things we find encouraging. One is that the four-wall contribution. We are probably within 100 basis points of where we need to be. Two years ago we were 300 basis points to 350 basis points away. So A. J. Wright has been really making significant progress in their store contribution margin over the last several years. The other thing is our new stores that we’ve opened have performed well so that gives us, you know, having a four-wall contribution close to what we need for the model and also having pretty strong new store performance, and we think that new store performance only improves in this environment, given the quality of deals that we’re going to see. But as Carol mentioned, we don’t throw hail Marys at TJX so we will go slowly and cautiously.
Carol M. Meyrowitz: 13 stores into this year and next year we’ll take a look at that number but you won’t be suddenly seeing us jump to 25 or 50 stores.
Todd Slater - Lazard Capital Markets: And you mentioned a pickup in February. Are you seeing it across the board or just in a couple of the divisions.
Jeffrey G. Naylor: We said down 1 to down 2. [extraneous humor] No, in our guidance we’ve guided to a minus 1 to minus 2 in February. That’s clearly an improvement in the trend and by business we’ll report to you shortly.
Operator: Your next question comes from Richard Jaffe - Stifel Nicolaus.
Richard Jaffe - Stifel Nicolaus: I’m excited about the marketing initiatives and some of the bolder plans, especially network TV but trying to reconcile this with what sounds like a decline in actually dollars spent I’m wondering what you’re giving up to get the additional visibility and how we should think about the entire marketing package, what loss this year versus gains.
Carol M. Meyrowitz: First of all, we were flat this year to last year and next year we will be slightly down. The key here is really our strategy and what you’ll see and I really don’t want to give that away but once you see it you will understand it creates tremendous leverage and that’s what allowed us to go network and to really hit the areas that we were never able to hit before. So you’re asking me to give away our price secret right now, and it will come out shortly.
Richard Jaffe - Stifel Nicolaus: I appreciate that and let us know where to look and when. But I was also wondering what is not happening this year that happened last year?
Carol M. Meyrowitz: Honestly, not very much. We had probably a little bit of ROP, not a lot. This is really a completely different strategy that is leveraging just much greater penetration with much less cost.
Operator: Your next question comes from Stacy Pack – [unspecified firm]
Stacy Pack – [unspecified firm]: On the comp for Marmaxx, can you break down traffic versus ticket? Can you say what the comp differential has been in the markets where you’ve had TV? What is the comp required to leverage SG&A in the back half and then finally, just on the Mega Shoe, how close is the California store to an existing store and what cannibalization are you seeing?
Carol M. Meyrowitz: First of all, our traffic is slightly up and our ticket is slightly down. In terms of the Mega Shoe, it happens to be right next to a Marshalls so we have not completely measured the cannibalization but obviously between the two we’re pretty happy with the sales, with the overall sales and we’ll continue to measure that. We purposely put one of the boxes right next to a Marshalls and in our other location we don’t have it next to a Marshalls. And that’s why we will always go slowly and measure the cannibalization. I will not give you the information in terms of TV, how it hits our market and the percent of increase we see because that’s really something that we don’t share.
Jeffrey G. Naylor: As to the leveraging question, did you mean for the company or for Marmaxx?
Stacy Pack – [unspecified firm]: For the back half, you said you gave us some information on occupancy you didn’t give us G&A.
Jeffrey G. Naylor: I think right now look for the first quarter we’re calling SG&A deleverage on a minus 2 to minus 4 comp. Of about 60 basis points to 90 basis points. So clearly we would see an improvement in that trend with the execution of some of the cost reduction initiatives. I don’t have specifically back half information because we’re not giving guidance on the back half. If I would tell you I would expect that we will be significantly lowering that leverage point. We mentioned for the year that on a constant currency basis, so excluding the favorable impact of currency, that we would expect SG&A to be flat. On a dollar basis, year-over-year. And that’s down slightly, including the impact of currency.
Operator: Your next question comes from Paul Edgeway – [unspecified firm].
Paul Edgeway – [unspecified firm]: Can you break down that capex, new store versus IT, DC, maybe share with us how much you are keeping at corporate for opportunities. And then just hearing you talk about these opportunities, in this environment have you reconsidered the right number of stores for any of your concepts? And I guess in particular I’m wondering on what the right number of Marmaxx locations is?
Carol M. Meyrowitz: We have always given Marmaxx a range. Our comfortability is still 1,800 and we range about 1,800 to higher than that, to 2,200. Again, with less stores out there in the future, we don’t know what that number is. So I would think that there would be only upside to that versus downside. And then the same thing in Europe. We are seeing Germany work, we felt that Germany was at least 350 stores and we are feeling very, very confident about that. So we really don’t see much downside. And as A. J. Wright is working, we have ranged that between 500 and 1,000 stores and we’re just going to keep moving in that direction because each day we’re feeling more confident about that business. So if anything we don’t see downside to the number of stores.
Jeffrey G. Naylor: I think in terms of how much we’ve earmarked and held at corporate. I would rather be mum on that other than tell you it’s a significant amount of capex. But I don’t think it’s something we’re going to go public on. In terms of the mix, if we look historically, we spend about 50% of our capital budget on store renovations and improvements, that’s where we have all of our initiatives, our remodels, etc. New stores represent about 25% and our office and distribution centers represent about 25%. I think those percentages are going to hold up relatively well this year. We’ve reduced the number of new stores but we’ve also been tighter on store renovations and improvement and the office and the distribution centers. So I think the mix will be a little bit different than that, I think we are going to end up with a little more in store renovation, a little less in new store, but it’s generally along those lines.
Operator: Your next question comes from Patrick McKeever - MKM Partners.
Patrick McKeever - MKM Partners: On the average ticket being down slightly, is that a function of fewer items per transaction or is it lower price point items?
Carol M. Meyrowitz: We’re slight down in average price point. And intentionally so because we’re really, really pushing the value equation. And it’s working well.
Patrick McKeever - MKM Partners: You told you store growth plans and your expense plans for 2009, how about just some of the merchandise initiatives that have been underway for some time now? Are you planning on adding any more runway stores and how about the Cube and the expanded footwear department at Marshalls? What are you doing with those initiatives?
Carol M. Meyrowitz: We’re pretty happy with the results but I’ll have Ernie walk through that with you.
Ernie Herrman: Just to give you an idea, we are looking at another handful of runway stores, potentially being added. We have gone to a large degree of the Marshalls Shoe Megas, approaching like 90% so maybe we’ll add another 20 there. Single Cube lines, we’ll add like another 100 or so. We would be adjusting these game plans or these numbers if we were running into results that weren’t saying to still do it. So yes, they are working as planned.
Jeffrey G. Naylor: I think with scarce capital we are really pushing our capital dollars to work those opportunities, those investments, that give us the highest return.
Carol M. Meyrowitz: I think the other thing, too, is to mention, because the Cube has been so successful, we have been pushing that mix and Maxx’s business is also very positive in terms of the junior business. So this is really terrific in terms of the future.
Patrick McKeever - MKM Partners: Have you seen any impact on your business from the liquidation sales at Mervyn’s on the West Coast or Goody’s in the Southeast? Or has that been fairly noneventful?
Carol M. Meyrowitz: We haven’t measure it but we’re seeing some positive. We’re certainly not seeing the deterioration like we were seeing in December. But we haven’t really measured specifically those stores.
Operator: Your next question comes from David Mann - Johnson Rice & Company.
David Mann - Johnson Rice & Company: Question back on gross margin. Can you talk a little bit about the sequential improvement that it looks like you’re guiding to in the first quarter from the fourth quarter? Could you go through some of those components, how you think they’re going to be improving, or still be the same or worse.
Jeffrey G. Naylor: I have to look at my numbers. The sequential improvement. So the merchandise market was essentially flat in the fourth quarter, if I back out the Winners currency issue that we talked about. And then we have an increase in the first quarter. What’s happened is that we’ve brought our inventories down significantly in the fourth quarter. We have much more liquidity open to buy. We’re sitting on more purchase dollars that are uncommitted and there are terrific buys in the marketplace and when that happens your mark on goes up. The other thing that happens with very lean inventories is it tends to have an improvement in your mark downs. So yes, there is a sequential improvement from Q4 into Q1 and those would be the factors. And it’s not surprising to us given the way that we’re managing our inventories in this environment.
Patrick McKeever - MKM Partners: And the Winners issue, should that be fairly similar in the first quarter?
Jeffrey G. Naylor: It will be more in the first quarter. We would estimate about 200 basis points of impact on Winners merchandise margins because of this currency issue of sourcing goods in more expensive U.S. dollars.
Patrick McKeever - MKM Partners: And how much should that be for the full company?
Jeffrey G. Naylor: Winners is about 10% of the full company, so about 20 basis points.
Patrick McKeever - MKM Partners: And the other components.
Jeffrey G. Naylor: They were up after that. I want to point out that the merchandise margins we’ve been, the up merchandise margin is after absorbing that hit from Winners.
Operator: Your next question comes from David Glick - Buckingham Research.
David Glick - Buckingham Research: Just a clarification on your outlook for fiscal 2010 on your base case, which is the minus 2 comp. So what you’re saying is using the $2.01 you would take out the 53rd week, $0.09, FX $0.14, and your base case would approximate to roughly $1.78. Is that the right way to think about it?
Jeffrey G. Naylor: Yes, on a reported basis that would be right. So on a reported basis we are saying flat, including $0.14 of currency pressure. So flat to us, we have $1.92 on a 52 week basis, excluding the intrusion in the mark-to-market adjustment. So $1.92 would be the base case and we are saying we’re basically, that on a flat comp we would be flat to that, including $0.14 of currency pay. So the $1.92 would be the pro forma, the $1.78 would be the reported, and that would be at a flat comp. and then obviously at a minus 2 comp you would pull $0.14 out of both ends.
David Glick - Buckingham Research: You mentioned the price competitiveness as a key issue. There is a lot of pricing upheaval in the department store industry. When you look at the fourth quarter, your business was a little bit tougher in November than December. I know some of it was due to some marketing shifts. But were there any lessons learned there? Just from my walks through the stores and just hearing anecdotally from competitors, there seemed to be that you got more aggressive on pricing as the quarter progressed. And I’m just wondering if the November underperformance relative to December had anything to do with that or did you feel like you were price competitive all along the way?
Carol M. Meyrowitz: Well, I would say the economy definitely hit pretty quickly in October and November so I would say to you that we did have some catch up in understanding what the true value needed to be. And I think we started catching up in December. So yes, if I said to you do I think today looking back, could we have done a better job in November? The answer is yes.
David Glick - Buckingham Research: Obviously going forward you are taking those lessons from December and applying the same.
Operator: Your final question comes from Randal Konik - Jefferies & Co.
Randal Konik - Jefferies & Co.: On this marketing spend, you say you’re going to hit 35% more stores. Can you walk us through the regions where you haven’t had some regional advertising in the past and we can kind of monitor the impact of that?
Carol M. Meyrowitz: I can’t even answer that. I don’t have it specifically in front of me. Some of it’s the smaller markets and it’s different between Maxx and Marshalls. Maxx tends to be in smaller markets so the impact is going to be in a $5.0 million to $6.0 million store and then Marshalls will probably hit some of the bigger markets so it will hit areas in Florida and California that maybe today it doesn’t hit. And it’s certainly where we weren’t highly penetrated before.
Randal Konik - Jefferies & Co.: And move on to the expense savings of $150.0 million. You talked about the reduced marketing spend. It sounds like it would be modest and you gave us like four or five buckets. Can you give a little more clarity on which is the higher weighting bucket towards that $150.0 million, where is the least weighted bucket in terms of the expense savings?
Carol M. Meyrowitz: The biggest bucket is really non-merchandise procurement and then we have the big chunks are in leveraging best practices and DCs and probably in-store labor is a big chunk of that also. And then we have some other areas where we think that are not including in this number is we have an initiative on freight that we think hopefully will end up big number going forward.
Randal Konik - Jefferies & Co.: Not included in the $150.0 million?
Carol M. Meyrowitz: Right, not included in the $150.0 million. So those are probably the three biggest chunks.
Randal Konik - Jefferies & Co.: Just on that freight, can you give a little more clarity? What would that be?
Carol M. Meyrowitz: I don’t know what the numbers are yet.
Randal Konik - Jefferies & Co.: Not the number but what are you trying to do with the freight? Change your shipper or what are you trying to do?
Carol M. Meyrowitz: A combination of things. It’s really leveraging the corporation more efficiently. We have a lot of places that I think we can leverage a lot better than we are today and that’s what we’re digging into.
Randal Konik - Jefferies & Co.: Just on the HomeGoods we’ve been through a little bit of fits and starts, you sounded a little more construction on it in terms of February trends. What specific changes can you point to in the last three months or so that really make you feel better about where the direction is going?
Carol M. Meyrowitz: I think if you walk into the stores today, we’ve really changed it up and we’ve looked at a much stronger value equation. I think there are places where we weren’t offering enough value to the customer and I think we are today. I think we are marketing in-store a lot better than we have. I think we’re moving the stores around and making them much more exciting. Before you would walk in and you would specifically see a department and it never moved through the entire year. so there are a lot of changes. And then within categories where we’re putting our dollars we are seeing some new categories that are working and some old categories that we’re doing just a lot better job with. So it’s a lot of different dynamics that are going on.
Randal Konik - Jefferies & Co.: Are there any particular categories you’re taking dollar away from?
Carol M. Meyrowitz: We’re always flexing on categories but I really don’t usually give that kind of detail.
Operator: This concludes today’s conference call.